Operator: Greetings. Welcome to the Electrovaya Q4 and Yearend 2023 Financial Results Conference Call. [Operator Instructions]. Please note, this conference is being recorded.  I will now turn the conference over to your host, John Gibson, Chief Financial Officer. You may begin. 
John Gibson: Thank you, Holly. Good morning, everybody, and thank you for joining today's call to discuss Electrovaya's Q4 2023 and fiscal yearend results.  Today's call is being hosted by Dr. Raj DasGupta, CEO of Electrovaya, and myself, John Gibson, CFO.  Today, Electrovaya issued a press release concerning its business highlights and financial results for the 12 month period ended September 30, 2023. If you would like a copy of the release, you can access it on our website. If you want to view our financial statements and management discussion and analysis, you can access those documents on the new SEDAR+ website at www.sedarplus.ca or on the SEC's EDGAR website at sec.gov/edgar.  As with previous calls, our comments today are subject to the normal provisions relating to forward-looking information. We will provide information relating to our current views regarding market trends, including the size and potential for growth and our competitive position within our target markets. Although we believe that the expectations reflected in such forward-looking statements are reasonable they do obviously involve risks and uncertainties, and actual results may differ materially from those expressed or implied in such statements.  Additional information about factors that could cause actual results to differ materially from expectations, and about material factors or assumptions applied in making forward-looking expectations may be found in the company's press release announced in the Q4 and full year fiscal 2023 results and the most recent Annual Information Form and Management Discussion and Analysis under risk and uncertainties, as well as in other public disclosures filed with the Canadian and U.S. security regulatory authorities.  Also, please note that all the numbers discussed on the call are in U.S. dollars, unless otherwise noted.  And now, I'd like to turn the call over to Raj. 
Raj DasGupta: Thank you, John, and good morning, everyone. Thank you for joining our fiscal yearend call.  I'd like to extend our apologies for the late filing this year. John, our Financial Controller, our auditors and myself have worked tirelessly over the last few weeks. But given the unforeseen complexity, the process has taken longer than we hoped. John will go over it in more detail. However, we are very pleased with where the business is today and more importantly our forward trajectory.  We just reported the strongest fiscal year in our history. Our financial results for the year are impressive with record revenue growth of 170% over the last fiscal year and more than $3.2 million in adjusted EBITDA. We have clearly passed an inflection point.  Our accomplishments demonstrate our continued commitment to execution and profitable growth. I'd like to reflect on a few of the key milestones we achieved over the year and our vision going forward. First, we delivered a strong fourth quarter despite headwinds, including a three week port strike, which resulted in higher expedite fees and higher transportation costs. While this affected our gross margins for the quarter, I'm confident we will deliver incremental improvements to margins for fiscal 2024 and beyond.  The pace of production, optimization of our supply chain and the strength of our products and backlog have positioned the company for continued growth and a strong fiscal 2024. Increased sales of battery systems for material handling applications, especially at large corporations, drive the majority of our revenue. Over the last year, we consistently drove revenue and order growth, and our backlog is at the highest level in our history and includes a diversified base of large Fortune 100 and Fortune 500 end customers.  Second, in November, we announced a new three year strategic supply agreement with Raymond Corp., and a related entity of similar or larger size that we believe will support our continued success in the material handling sector. Together, these OEMs control more than 50% of the North American market for Class 1 to 3 material handling equipment. As this industry continues to evolve, I believe the strong OEM relationships will be central to our long-term success.  While most battery systems that we produced to-date have had drop-in design with digital integration, we believe that the longer-term trend will be for fully integrated battery systems. We are already working on numerous projects of this nature. The material handling sector will continue to represent a high growth, high margin business for the company.  With respect to electrified Class 1 through 3 segments, we estimate that our penetration with our first OEM partner is under 10%. Market indications for the lithium-ion penetration rate suggests that this will increase to approximately 50% by 2027, about five times our current production rate. Our latest OEM partner also shipped significant numbers of electrified Class 1 through 3 vehicles, which we are beginning to see growing opportunities for.  Importantly, this OEM has a significant number of internal combustion engine-powered vehicles, for which there are legislative pressures to electrify. I am optimistic that Electrovaya's batteries are going to be a meaningful component of this electrification strategy. Electrovaya continues to make a strong push into other verticals with heavy-duty profiles. This includes electric bus, truck, mining vehicles and energy storage, which all require high voltage systems.  We are broadening our market reach, including through the launch of our Infinity-High Voltage product line. Since July 20, when we announced the line, which takes advantage of our core strength of safety and cycle life, we've had considerable interest and have just shipped our first product to a global aerospace and defense corporation.  We have also received additional orders for these products for diesel replacement systems. More importantly, we are in late stage negotiations with a well established multinational bus manufacturer for an electrified transit bus with a planned start of production in late 2025. This contract, should we get it, could potentially have similar revenue profile as our current OEM customers in the material handling sector and would represent a major win for the company.  Recently, we also established a relationship with one of the four largest Japanese trading houses. Through this partnership, Electrovaya products are being marketed to a host of Japanese and international OEMs, representing a significant boost to our sales reach. Our team at Electrovaya continues to make steady progress with respect to our solid-state battery program. We are producing our own proprietary ceramic material that has been shown to have very high ionic conductivity, perhaps higher than any similar materials in the literature.  We are also developing an innovative separator that takes into account the internally developed ceramic materials. While it is still too early to determine whether these advances will lead to a commercially viable product, we are pleased with the progress achieved to date, and will continue investing in it.  Our manufacturing site in Ontario supports approximately $130 million worth in annual revenue. Despite this, we expect to require additional capacity by mid-2025. Furthermore, we are making progress in closing a facility to finance capital investments for our Jamestown facility. It does get a bit more complicated due to separate working capital facilities in Canada, and we expect refinancing of the Canadian side to occur at a similar time. Despite this, we believe we are still on schedule for startup cell making operations in mid-2025.  Our team has visited our selected equipment suppliers, completed engineering studies and hired several key personnel. That said, we will pursue large scale investments only in the event that we close the debt facility, which needs to include advantageous terms with minimal impacts to operating cash flow and equity dilution. If we are unable to secure such financing, we expect that there will be limited financial impact as investments made to date are primarily land and building, which can be sold at a profit. That said, I firmly believe that this funding and expansion will happen and benefit the company tremendously.  With that, I would like to pass the call to John Gibson, who will go into the financial results in more detail. 
John Gibson: Thanks, Raj. First of all, I'd like to reiterate our apologies for the delay and our appreciation for investors' patience at this time.  As Raj mentioned, fiscal '23 was a big year for the company, representing some key inflection points from a business and financial perspective. Electrovaya's business has grown substantially over the last year, including a significant increase in revenue, adjusted EBITDA, staffing and also the recent listing on the NASDAQ stock exchange. With these seismic shifts, the accounting has become more complicated.  In September, we engaged a new audit firm, MNP, as our previous auditors were understaffed for our current size and complexity. First year audits always tend to take longer than expected as the audit team learns about our business and our processes. And as a result of some of the discussions that we had during the audit, management restated the financials for fiscal year 2022, which are included at the end of the financial statements. The restatement pertains to functional currency, revenue, the addition of the Jamestown asset to the balance sheet in 2022 and the non-cash valuation adjustments to warrants and performance-based stock options. Most of these updates are non-cash in nature and further explained in our financial statements and MD&A.  From a numbers perspective, revenue for fiscal year '23 was $44.1 million compared to the restated $16.3 million in fiscal 2022, an increase of 170% year-over-year. This substantial revenue increase was due to sustained execution of growing orders and an operational transformation of the company in general. Importantly, our adjusted EBITDA grew by nearly $7 million to a positive $3.2 million for the year. This figure gives us strong capability to continue our growth plans and support our working capital facilities.  With regard to operating profit, we had a total operating profit for the fiscal year of $1.2 million and maintained that operating profit for the last three quarters of the year. Our overall net loss for the fiscal year was $1.4 million, an improvement of more than $8.4 million from the prior year.  Looking at Q4 specifically, we had revenues of $11.9 million, an increase of 86% year-over-year and adjusted EBITDA of $1.2 million and overall net profit of $0.8 million. Gross margins were up year-over-year, however slightly reduced from the prior quarter due to expediting, higher transportation and storage costs stemming from the July port strike in Vancouver. One thing to note is that we actually achieved the Q4 revenue in approximately eight weeks, due to the parts delays as a result of the port strike. We expect gross margins to normalize in the next quarter and are anticipating overall gross margin improvement.  Finally, a portion of the previously reported revenue for the quarter was adjusted into Q1 2024 due to the previously mentioned accounting adjustments. Company generated positive cash flow from operating activities of $2.4 million for the fiscal year compared to a cash use of $2.5 million in the prior year. This also demonstrates the continued improved financial and operational performance of the company. As at September 30, 2023, the total debt was $16.3 million compared to $20.7 million in the prior year.  The company, as always, continues to manage its cash conservatively. We believe we have adequate liquidity to support our anticipated growth for fiscal year '24.  That concludes the financial overview. I will now return the call to Raj for concluding remarks. 
Raj DasGupta: Thank you, John. For my concluding remarks, I'd like to start off with our guidance for fiscal year 2024.  We are providing guidance for fiscal year 2024 revenue in a range of between $65 million to $75 million, barring unforeseen circumstances. This represents approximately 59% growth at the midpoint. We are confident in this guidance given our existing strong backlog and line of sight on additional orders. Importantly, we have the team and the capabilities to meet this demand in a timely fashion.  The vast majority of the revenue guidance is for our mature low voltage material handling battery product lines. However, there will be some engineering and seed deliveries of new product lines as well. These new products, combined with continued growth in the material handling segment, sets Electrovaya up for further growth in 2025 and beyond. The overall electrification movement, especially that for the heavy-duty segment, is still in its nascent stages. And I believe, with our technology advantage, Electrovaya stands to become the leading battery player for this important section of the market.  As with all successful businesses, the team, the technology and the market timing needs to coincide, and that's what I see happening here. We are also in a unique position with regards to our financial performance. There are not many, if any, battery companies in North America who have demonstrated the capability to grow with a sustainable and profitable trajectory as we clearly have demonstrated. We intend to continue this mentality and vision as we continue to grow rapidly in the years to come.  That concludes our remarks this morning. John and I would now be pleased to hold a question-and-answer session. 
Operator: Certainly. [Operator Instructions]. Your first question for today is coming from Eric Stine with Craig-Hallum. Eric your line is live. 
Eric Stine: Yes. Can you hear me? 
Raj DasGupta: Eric, we can hear you. 
Eric Stine: You can. Okay. Got it. Good morning guys. Hey, so obviously guiding to strong revenue growth here for fiscal '24, and I know just the nature of your business, you've got great visibility into that. Just wondering though maybe the range, some of the things that would mean you'd be low end of the range. What gets you to the high end of the range? And then just also maybe some thoughts on linearity of that growth throughout the year. 
Raj DasGupta: The growth wise, as with previous years, we expect it to be second half weighted. That said, we have, like you said, we have pretty good visibility. The high end of the range is assuming one of our fairly regular customers places a sizable order, which they have placed in previous years. They just haven't communicated that to us as yet. So that's really giving that range. 
Eric Stine: Got it. And low end, I mean, just again, the nature of our business, I would think low end is something that you have a high level of confidence in, just given your backlog and trends. 
Raj DasGupta: Correct. So the low end is based -- is a very conservative, I would say a conservative figure based on a firm backlog plus orders that have been communicated verbally at least. 
Eric Stine: Yes. Okay. Good. Maybe next one. So I know over the last couple of months here since the 3Q report, you had a number of presentations and I've noticed some new names -- new customer names on the list here, like retail Target; Logistics, FedEx. I don't know if you are able to speak specifically to those customers. But maybe just talk about the trends you're seeing in these various segments as you kind of expand your reach to different applications? 
Raj DasGupta: Well, on the material handling segment, I'm pleased to say that we are not really dependent on any one name. If you look back just a few years ago, let's say in 2022, we had one single e-commerce company, which ordered approximately 70% of our production that year. In 2023, it was fairly diversified, I would say there are five big names there, and we expect five names to still add up to like, let's say, 80%, 90% of our revenue. But you listed some of those names there.  I'd say our most consistent buyers are three retailers, all Fortune 500 and Fortune 100 names. We're seeing growth in the food distribution segment. We're working with probably the world's largest group there. And we're pleased to say there's a growing list of very well-known customer names that consistently buy our products. 
Eric Stine: Got it. That's helpful. Maybe last one for me. You mentioned the large trading house -- the new agreement with the trading house in Japan. Maybe you gave a little bit of detail, but just curious what maybe early returns there and what that eventually looks like. I mean, what do you envision this is as part of your business if you look out, say a year or two or longer? 
Raj DasGupta: Yes, it's still early days there. So that's why we haven't made a big song and dance about it. However, it's looking very promising. So we've already bid on a number of OEM projects, especially in, let's say, the construction and mining segment, through this Japanese trading house. Because we supply a well-known Japanese institution already gives us a little bit of credence for growing the market there. So I'm optimistic that we will see some growth and some new opportunities come up in Japan. 
Eric Stine: Okay. Thank you. 
Operator: Your next question for today is coming from Pavel Molchanov from Raymond James. 
Pavel Molchanov: Good morning. Thanks for taking the question. Can I first ask about Jamestown? So you mentioned still looking for financing to support that. Do you have a timetable in mind? So for example, if you were to secure financing first half of '24, what would be the kind of trajectory of construction and startup? 
Raj DasGupta: So first of all, we expect to close that financing in that period. The reason we haven't closed it thus far has some to do with our Canadian debt facility which also needs to be refinanced because the current lender that we work with doesn't have the capability of the U.S.-Canada complexity there.  So we're trying to have almost a simultaneous refinancing of the Canadian facilities with the more project financing for the Jamestown expansion. So that's happening in the background. That said, we've still been working out the details on the engineering side and the equipment side. So we haven't really lost any time there. We're expecting to need to place orders on equipment in the first quarter of calendar year 2024, so between now and end of March.  I'll give you some examples where we have already had a team out there visiting suppliers in Asia. We are going back to Japan, for instance, to work with our contract manufacturer to train our team on the separator manufacturing process in preparation to bring that into Jamestown. So there's a lot of work that's taking place in parallel to the financing efforts. Does that sort of answer your question, Pavel? 
Pavel Molchanov: Very clear. I appreciate that. Can I also get an update on what's going on with the solid-state R&D efforts? 
Raj DasGupta: So the solid-state efforts, I generally don't like to talk about it too much because it's not generating revenue and nor will it generate revenue in the near term. But we're making good progress. The team is focused on two areas specifically. One is making the ceramic itself. So if you look at other companies in solid-state battery space, they're generally looking to use ceramics as the ion-conducting element there. And so we've developed our own proprietary ceramic material that so far is looking very promising, to have extremely high ionic conductivity, and we're working out the kinks on the processing for that material right now. So that's one area that we're focused on.  The second, of course, is on the ceramic separator itself. So that's incorporating our proprietary ceramic materials into a unique separator membrane. So we're taking a lot of the lessons learned of our existing Infinity-based battery separator product. So I'm optimistic we're in a good position to develop an exciting solid-state battery product. But again, it's early days. There's a lot of work still to go. It's tough research. No one has commercialized this type of product to date. There's lots of talk about it, but we're firmly in the race. 
Pavel Molchanov: Okay. Last question, just a quick one on the guidance. What percentage of the $65 million to $75 million do you expect to come from the material handling customer base? 
Raj DasGupta: Basically all of it. We have not taken into account the other products in a big way. And the reason for that is, number one to be conservative. And number two is, for instance, the high-voltage system product which we've just started making shipments. Those are really going to -- they're basically going to engineering pre-production programs, which then could lead to mass production programs. And that takes time.  So it's going to be an incredibly important year to develop those relationships and those contracts. But in terms of revenue, that product line is not going to generate anything significant. 
Pavel Molchanov: Got it. Okay. Understood. Conservative approach to guidance. I appreciate that. Thanks again. 
Operator: Your next question for today is coming from Jeffrey Campbell with Seaport Research Partners. 
Jeffrey Campbell: First of all, Happy New Year and congratulations on the strong quarter. First question is, is the strategic supply agreement limited to North America, or does it apply to all markets in which the OEMs operate? 
Raj DasGupta: We're already selling to other markets. So for instance, our batteries are powering e-commerce sites in Australia. We're shipping batteries to, I think Colgate in Thailand and lots of sites in South America. So it's not exclusive to North America. That said, the exclusivity part of the agreement is for North and South America. 
Jeffrey Campbell: Okay, great. I want to ask a few quick questions regarding the 12/26/23 press release, the first Infinity high-voltage battery shipment. First of all, can you clarify if the shipment was an HV-300 or an HV-700 system? 
Raj DasGupta: It was a 300 system. 
Jeffrey Campbell: Okay. And can you remind us of, just round numbers, what's the expected sales price of the 300 and the 700, maybe when it's commercialized? 
Raj DasGupta: It depends if it's going into a -- this system we shipped was to an aerospace company. That's going to be relatively low margin but -- no, high margin, low volume. If it's going into a transit bus, it's going to have quite a different price. So I would say we're targeting margins to be consistent with the material handling product. So by the time this product goes into mass production, should come out of Jamestown, New York, we'll be able to leverage IRA benefits, and we should be able to maintain around 30% gross margins on it. 
Jeffrey Campbell: Okay. That's helpful. Can you add any color on the new vehicle type that the system was ordered for? That sounded sort of provocative. 
Raj DasGupta: It may be provocative. So we don't know much about it, to be honest. 
Jeffrey Campbell: Okay. And I guess the last part on that is, can you estimate your 2024 HV system production capability prior to Jamestown? I know you said it's preproduction, but just maybe some sense of how many of these things you can put together for the people that are really interested in it. 
Raj DasGupta: Quite a number. So we did invest in an automated line here in our Kitimat plant. So we can turn out packs with pretty good regularity. We're expecting the Kitimat location though to be fairly busy with our low-voltage products. So the intention is to build these packs in Jamestown. We did train -- we did hire a great gentleman in Jamestown who's going to be the plant manager, and he's well aware that this is the product which will be built first there. So the plan is to build it down there. I would say it depends on the -- I'm not expecting significant demand, but if that does come we will be able to meet it. 
Jeffrey Campbell: Okay. And final question, based on your earlier remarks today, is it fair to say that the new Japanese relationship's focus is on the high-voltage battery systems? 
Raj DasGupta: No, no, it's everything. This company, they own, they have their fingers in lots of areas, as you may guess. And they're marketing our -- even our material handling battery products. So everything. 
Jeffrey Campbell: Okay. Great. Okay, again thanks and congratulations on the quarter. 
Raj DasGupta: Thanks, Jeff. 
Operator: Your next question is coming from Orin Hirschman at AIGH Investment Partners. 
Orin Hirschman: Congratulations on the product, on the progress and some of the product development, which is what I want to ask about. So you mentioned some of the new technologies you're working on, the separator, et cetera. I just want a clarification, did those affect both your existing product as well as the solid state? Are they important in both? And if it's the existing product, does it create better performance, or it's a gross margin improvement, or both? 
Raj DasGupta: For the separator? Is that what you're --?
Orin Hirschman: Yes. 
Raj DasGupta: The Infinity separator is a very stable product. We're not really seeing any change to the separator design, other than our plan to produce it in Jamestown and in Japan. But that's a mature product. What I would say for product development in terms of the Infinity technology is you will see continued improvements in energy density without sacrificing the core cycle life and safety advantage. And it's that core cycle life and safety advantage which is really what makes the Infinity product so compelling for the heavy-duty market.  The separator that I mentioned, to Pavel's question, is the solid-state separator that is a new material altogether, which has a different ceramic which is proprietary and a unique separator design as well. So that's the one that's still in development, and I would say that's going to be in development for most of 2024 at least. 
Orin Hirschman: Okay. And just one more question in terms of Jamestown -- or actually before that, in terms of electric buses. What's going on from a general government push perspective and legislative perspective? And how does that dovetail with your timing? And are you hopeful that there's more than one major customer right now, just focus on that one major customer? 
Raj DasGupta:  So we are -- there's more than one. Now if you look at the North American transit bus market, there are really three or four large OEMs who control 80%, 90% of that market. That's what our main focus has been and we're talking to two of them. And one of them is the one I mentioned, which we think we can -- we're close to winning a supply contract.  Our feeling is once we close a supply contract with one of those types of OEMs, it's going to make it less risky for other OEMs to use our product. 
Orin Hirschman: These are the big boys. These are not some of the less well financed start-ups? 
Raj DasGupta:  No, no. The one we're closest to is a very large group who's been making buses for, I don't know, 100 years? I don't know, something like that. 
Orin Hirschman: Okay. And just finally on Jamestown, I know this is going to be a very wide-range answer, but any idea what kind of capacity that could give you at some point in time? I know it depends on mix, etc. 
Raj DasGupta: So the first phase of -- it depends on mix. The first phase of Jamestown is approximately 300 megawatt hours. And the reason we use that figure is it takes advantage of the existing building. And that's the building footprint. So that's what we can fit into that building. And that also meets quite a lot of our requirements.  However, if demand continues to go up as we anticipate, we will need to go larger. One event that happened recently was the Department of Energy, the U.S. Department of Energy announced a new grant program which is specific to heavy-duty, off-road and other applications, which fits perfectly with our mandate. So that application is due end of March, and we are going to apply. That would, if we are successful, provide us significant funding to go to that second stage, where we're looking at approximately two to three gigawatt hours of capacity. 
Orin Hirschman: Okay. And just to frame it, if I look at your current facility, again, give or take based on mix, what's the capacity at full gear, at $130 million or so of sales? How does that translate into energy, give or take? 
Raj DasGupta: Yes, in Kitimat, the $130 million, that's about 200, maybe more. 
Orin Hirschman: I know it's a guess--
Raj DasGupta: Maybe we'll talk offline about that. 
Orin Hirschman: Great. Okay, thank you. And thank you for getting the numbers out so quickly after the announcement. We really appreciate that. 
Raj DasGupta: Thanks, Orin. It was -- John and I have had lot of reduced sleep the last few days, put it that way. 
Orin Hirschman: Okay, great. Thank you so much. 
Operator: [Operator Instructions] We have reached the end of the question-and-answer session, and I will now turn the call over to the management team for closing remarks. 
Raj DasGupta: That concludes our call this morning, and thank you all for listening. We look forward to speaking with you again after we report our first quarter 2024 results. Have a wonderful day, and Happy New Year to everyone. 
Operator: This does conclude today's conference. And you may disconnect your lines at this time. Thank you for your participation.